Leszek Iwaszko: Good morning. Thank you for standing by. Let me welcome you to Orange Polska conference call in which we will summarize our achievements in 2025. My name is Leszek Iwaszko, and I'm in charge of Investor Relations. The format of the call will be a presentation made by the management team, followed by a Q&A session. Speakers for today will be our CEO, Liudmila Climoc; and CFO, Jacek Kunicki. So I'm passing the floor to Liudmila to begin the presentation.
Liudmila Climoc: Thank you. Thank you, Leszek. Good morning. Happy to welcome you at our conference summarizing last year results, and let's start. In March last year, we have presented to you our new 4-year strategy, Lead the Future. And today, I'm very pleased to say that 2025 was a strong start. We have progressed in all key pillars of our strategy and prepared a solid ground for next years. First on the line is our commercial performance that was excellent in both retail and wholesale. In retail, we uplifted both customer base and ARPO. In wholesale, we started to benefit from new important business development streams. And commercial growth is an essential pillar for value creation in our plan. Second, to mention is network. In order to win customers, we are committed to bringing first-class connectivity at home, at work, on the move. And in 2025, we significantly progressed in 5G coverage, already 85% of Polish population can enjoy 5G with better quality, higher speed, better latency. Orange Fiber is now reaching almost 10 million homes. It's 2/3 of households in Poland, and we have added 1 million last year. And the third important contributor to our results was transformation, transformation and efficiency. One of the main pillars of Lead the Future. We increased our efficiency by better cost and by better CapEx management, increasing profit margins and improving cash conversion as a result. We have initiated a new transformation program last year that brought the first results, but we expect more to come in next years. Lead the Future is focused at value creation for our shareholders. And in 2025, we clearly demonstrated it by growing our financials. I'm very proud that we delivered 47% in total shareholder return through growth of our share price and paid dividend. Speaking about the financials, let's have a look on how we have performed versus guidance. So here, you see the slide illustrating it. We did very well. Growth rates on revenue and EBITDAaL was overachieved. We promised the range of low single digits. In both cases, we achieved mid-single. We overachieved on revenues, thanks to positive dynamic in IT&IS and in wholesale, but the main engine of revenue growth is our core telco services with strong 6.5% growth. EBITDAaL benefited from strong profitability of core telco and wholesale, but also combined with cost efficiencies in. For eCapEx guidance, it is met at the low end of the range, despite lower-than-expected sales of real estate, we managed to -- we managed our investments very efficiently. As you see, our growth story is developing faster than originally expected. And let's see what were the main commercial performance drivers for this. So looking on the commercial parts, 2025 is very strong. We attracted new customers and simultaneously, we grew ARPO in all key services in a very balanced way. In convergence, both customer base and ARPO increased by a solid 4%. For fiber, customer base increased by 10% and ARPO by almost 5% and I'm very pleased with this performance in convergence and fiber as competition here continues to be the most intense. We estimate -- so that we further improved our market share in high-speed broadband. So Orange is the [ synonym ] of fiber. Mobile performance in 2025 was exemplary, almost 350,000 customers joined us with mobile postpaid offer. It's almost 4% growth. The highest number in a few years. And both segments were contributing consumer and business and also all brands were contributing to this performance. ARPO increased by less than 1%, and it is explained by a strong contribution of more than 5% growth of ARPO for main brand, which is diluted by an increasing share of the B brand in our total customer base. Pace of growth in all services is in line with what we said for us as an ambition in Lead the Future, and it is demonstrating that we have the right strategy and we are navigating well in the competitive environment in Poland. So to zoom on our commercial tools, let's move to the next slide. Our focus in Lead the Future is on building new relationships, reaching new families with our services and further using it as a pull for further growth with additional services and with conversions. In 2025, we achieved it by pursuing a bold marketing plan. We visibly improved our marketing communication, refreshing the main brand in order to reach younger segment, changed the visual identity of our prepaid products and our B brand, Nju also received a new format. We put together -- we put also higher focus on stand-alone offers. Our new multi-SIM family offer proved to be a very successful in second part of the year. We boosted content proposition for our fiber and TV offer, making it significantly more attractive. And these elements combined with AI-enabled tailored offers contributed to customer loyalty for the existing base and allowed us also to attract new customers. On the value side, we further pursued our more for more strategy. ARPO benefited from good demand for higher data plan in mobile and also higher speeds for fiber offer. Customers with higher speed options in fiber already account for almost half of our customer base. As a result, the number of Orange households where we are present with, our services was growing, reversing a multiyear trend. And this represents fundamental change for us that is also offering very promising prospects for future. This was about retail. Let's now look at wholesale on Slide 8. Last year was particularly strong for our wholesale line of business, both our own and also in our core -- FiberCo Swiatlowód Inwestycje. As you see on the slide, we have recorded a solid 13% of wholesale revenue growth, excluding legacy services, much better dynamic versus previous years. And I will mention 3 drivers that were contributing to it. First is a new fiber backhaul contract, which was bringing results in the last 4 months of 2025. In 2026, this year, it will help us to fill the gap left by national roaming contract that has expired in 2025. Second is the accelerated growth of revenues from access to our fiber network to other operators. And accordingly, growing monetization of our infrastructure. We reported an impressive 36% growth of wholesale customers on our network, a result of opening of our network for wholesale, which took place in the second part of 2024. And the third pillar driver is services, which we rendered to our FiberCo Swiatlowód Inwestycje, like lease of infrastructure delivery of services, network maintenance, they are growing in line with growing scale of FiberCo. Speaking about our 50% co-owned FiberCo. 2025 was a very important milestone here. It marked completion of the initial investment program, which was set in 2021, in line with our plan, FiberCo network reached 2.4 million households. In 2026, new program has started with fully secured financing, and we are very pleased with operational and with financial dynamics. Despite the fact that FiberCo is still at a very early stage of development, significantly investing into the network expansion. Swiatlowód Inwestycje EBITDA of last year exceeded PLN 140 million with a margin of 35%. We expect this to increase along the growing network acceleration. And obviously, we plan to strengthen it further by Nexera deal of course, subject to regulatory approval, which we are awaiting now. This acquisition is expected to be highly synergetic. Now switching to connectivity on Slide 9. In 2025, we reinforced our commitment to provide the fastest, the most reliable and trusted connectivity in Poland. And I want to start from mobile. We made big progress in 2025. Major projects of radio access modernization, which we have started several years ago is now almost finished. It is making our network more energy efficient and will enable usage of new spectrum for -- new spectrum bands for 5G. For 5G, it was the second year of rollout on C-band spectrum. We are covering now already 60% of population in Poland, meaning that we are very much advanced on the market. Rollout on 700 megahertz spectrum, aiming wide coverage has started just 6 months ago, and we are already at 64% population coverage. These both spectrum bands, we boosted 5G coverage to 85% by end of last year from below 40% a year ago. And we -- as well, we have completed the commissioning of obsolete 3G, allocating frequencies to 4G and enabling us to increase network capacity and improve the quality of services, which we are providing. In fiber, we are investing both in the reach and the coverage of the network, but also in service quality. Orange Fiber from a quality perspective was again validated by independent benchmarks where our fiber network is ranked again #1 in 2025. Fiber reach continues to grow fast. We have added another 1 million households to the coverage, reaching 10 million homes in total. It was mostly delivered by Swiatlowód Inwestycje and also by access to other third parties, FiberCo's networks. Our own build is targeting wide zones with projects supported by EU subsidies. Rollout as well accelerated in 2025, as we have invested almost PLN 90 million in this project, and it will be completed this year in 2026 with investment effort of over PLN 100 million -- PLN 120 million. Let's zoom now on transformation. With Lead the Future, we have initiated a new wave of transformation. You remember the ambition of our Transform and Innovate pillar to boost efficiency, which will be leading to improved profit margins. We will achieve it through automation, through process reengineering and opportunities which are arising from integrating AI in our operations. Firstly, in sales and customer care operations. Here, digital channels are progressing, and we see them being much more efficient and much better responding to customer expectations to be served online fast with seamless experience. And as a result, we are approaching 30% in share of digital sales with ambition to reach 35% by 2028. My Orange app is our key asset here contributing to this target. We are constantly improving it, adding new functionalities and using AI for personalization. In customer care, we are making another step change with AI agents. For instance, in 2025, we launched an agent, which helps our advisors to provide optimal remedy for technical problem solving. This reduced number of contacts and improving customer experience. We are working on more agentic solutions to be implemented in this year 2026 for better quality and better productivity. Secondly, in network operations, we improved cost efficiency last year, and we are aiming to do more. To reduce cost of service delivery and network maintenance, we use more remote tools, self-installation, boxless solutions for content and TV, and AI supported dispatching of technicians. We have started progressive decommissioning of legacy copper network targeting first areas with less customers, less usage and accordingly less profitable. And recent deregulation decision will allow us to do it at a much better speed. And finally, we are reducing costs across all our functions, making ourselves leaner and more agile. In recent months, we have made several organizational changes aiming to streamline our operations. And as a part of this process, we signed a new social plan with our social partner under which number of employees will be reduced by 12% over the next 2 years. And finally, I want to stop at the moment at our sustainability agenda and achievements. I'm convinced that growth and responsibility go together. And our actions bring a real difference and contribute to the development of Polish society and economy. And we are very proud of our progress in 2025. In today's fast-changing world, there is a growing need for education on responsible and safe use of technology. And here, we concentrate our energy, the number of beneficiaries of various digital programs was growing and exceeded 200,000 last year. And as well last year, our Orange Foundation has celebrated 20 years anniversary, a proof of our long-term commitment for society and for digital inclusion. On environmental area, in 2025, we significantly reduced CO2 emissions. Actually, we almost reached our goal, which we set for 2028. This was possible as all the electricity we consumed came from non-emission sources. And finally, in 2025, we reinforced our efforts in the area of circular economy, thanks to newly launched platform, we significantly improved the collection of used handsets. And also, we significantly increased the share of refurbished fixed devices that we distribute. It brings a positive impact on the environment, but also is improving our cost base. So this being said, I want to pass the floor to Jacek to give more deep dive on our financials.
Jacek Kunicki: Thank you, Liudmila. Good morning, everyone. Let's start with the financial summary. Our financial results last year were strong and they came above expectations. We have increased both revenues and EBITDA by over 4% year-over-year and expanding operating activity is the main driver of our value creation. What is important is that this growth is built on a solid sustainable foundations. We've executed a disciplined investment plan, allocating capital to growth areas and decreasing CapEx intensity. We are confident to further optimize capital allocation going forward. As a result, we have converted the EBITDA growth to cash flows, reaching PLN 1 billion of organic cash flows in 2025. These achievements have also built solid foundations for further growth of shareholder value in the future. Let's now look at details of our performance, starting with revenues. Q4 revenues have increased by a strong 4.6% year-on-year. Please note that all key products have contributed to this achievement. Let me comment on two of them with the highest impact. First, core telecom services, which are key for our growth, value creation and margins. We're pleased with the sustainable strong performance stemming from a simultaneous growth of the number of customers in the key product areas and of their respective ARPOs. Core telecom revenues were up 5.5%, so at the high end of our midterm guidance. This was achieved versus a high comparable base of Q4 2024, when we implemented price increases for the customer base of prepaid. The second item is wholesale. It was an exceptional quarter for wholesale with 27% year-on-year revenue expansion. Q4 included the full impact of the fiber backhaul contract signed in the prior quarter in Q3. And also, it was the last quarter with revenues from national roaming. We expect to further grow the value of our wholesale business going forward. To sum up on the top line, first, we're happy with the pace of revenue growth and the key drivers of our margin. Second, revenue growth is supported by all major product lines. This includes IT&IS revenues, which have returned to a double-digit growth of sales in 2025, a dynamic that will continue this year. Let's now switch to profitability. We're pleased with a strong 6% growth of the EBITDA after lease in the fourth quarter. This was driven by a 5% increase of the direct margin. It reflected consistent margin expansion from core telco services coupled with them discussed significant contribution from wholesale. Indirect costs have increased year-over-year, but mostly because of a PLN 30 million impact coming from 2024 when we recorded a catch-up of the fiber rollout margin in the last quarter of 2024. This item apart indirect expenses grew by less than 1% year-over-year as cost pressures were contained by the savings program. Our cost transformation is accelerating. It delivered savings in workforce, network operations and G&A, and we plan to increase the savings run rate that will be visible in 2026. To recap on EBITDA. First, we delivered a strong 4% growth in the full year of 2025 with an acceleration in the second half of the year. Second, the growth is built on sustainable drivers as the increasing revenues and margins are converted to EBITDA via our high operating leverage. Let's now turn to net income on the next slide. We achieved PLN 760 million of net income last year. This included PLN 150 million provision for a 1,000 employee headcount restructuring to be done in 2026 and 2027. It is important to our transformation and it will increase our efficiency going forward. Excluding this provision, net income was on a comparable level to 2024. On the one hand, it was driven up by growing EBITDA, a factor that will consistently boost our net results going forward. On the other hand, it was brought down by 2 elements that we don't expect to repeat in the future. First, depreciation, which was driven up by purchase of the 5G license, changing asset mix and one-offs with opposite impacts in both 2024 and 2025. Here, we judge depreciation to have reached its peak in 2025. Second item is finance costs, which increased as a consequence of higher debt due to the purchase of the 5G license and higher interest on the PLN 1.2 billion refinancing, which we had made back in the middle of 2024. We expect significant growth of net income this year in 2026. As the EBITDA growth is its fundamental underlying driver while the negative impacts visible in 2025 are largely nonrecurrent. Let's now switch to capital expenses on the next page. Our economic CapEx amounted to PLN 1.8 billion. So it was at the very low end of our guidance. CapEx intensity measured as a percentage of revenues, has decreased to 13.8% in 2025, in line with our midterm ambitions. We allocated 40% of CapEx to fiber and mobile networks. In fixed, this included fiber rollout in white zones and connections dedicated to the B2B. In mobile, we have significantly progressed with 5G deployment as discussed by Liudmila a few minutes ago. Please note that this year, in 2026, we will finalize the EU subsidized fiber build, and we will reach the peak of the run rate of 5G rollout. This latter program should be nearly finished by the turn of 2028 and 2029 and both of these present us with an obvious opportunity to further decrease CapEx intensity after 2028. Let's now look at cash flow on page -- on the next slide. We generated PLN 1 billion of organic cash flows last year. This good result was achieved thanks to growing operating cash flows, and these were coming from the EBITDA, so a sustainable underlying positive driver. It was offset by less cash from the sale of real estate and 2025 was challenging in this area, and some key transactions were delayed through 2026. As a result, we expect higher inflows from this activity this year. Obviously, the free cash flow was influenced by the acquisition of the 5G license. But now we have the last of the new spectrum acquisitions for 5G behind us. So the cash flow prospects going forward are much more predictable. On the balance sheet side, the balance sheet remains very strong, and we have already secured the refinancing of the PLN 3.7 billion debt that is due next year. For the conclusion, I wanted to reflect on our value creation model shown on the next slide, which we have presented alongside with the Lead the Future strategy. Our 2025 achievements confirm that it is working well. It increased the key drivers of shareholder value creation and their underlying dynamics inspire confidence about the good prospects for the future. That is all from me, and I hand the floor back to Liudmila for the outlook and conclusions.
Liudmila Climoc: Thank you, Jacek. So now coming to our priorities for 2026. We have 4 main areas and all 4 are rooted in our strategy in Lead the Future and it starts with profitable commercial growth. On consumer market, we aim to deliver a solid growth of core telco services, and we are going to achieve it through our balanced volume and value strategy in mobile, in fiber and in convergence. Secondly, we aim to achieve profitable growth in B2B. For small businesses, we will differentiate by complementing telco products with digital services, such as KlikAI web creator that we have just launched in subscription model. For large businesses, we bring new operating model that will group all our IT&IS competencies under one roof in order to unlock more potential. So commercial growth will be accompanied by high-intensity transformation to improve our profitability. As we discussed today, we have high ambitions in this area. Our commercial ambitions require a reliable and high-quality connectivity in order to answer to customer demand and accordingly investments in innovative solutions and tools that bring value for customers and for our operations. And this is the -- reflecting the way how we will prioritize on our investments, of course, keeping an eye on return. And now let's turn the page to see how this translates into financial targets for 2026. We aim to create significant value for shareholders this year. 47% in total shareholder return in 2025 is impressive, and we will make every fourth to sustain this positive momentum. We plan to grow revenues at low single-digit rate, noting that it is essential to maintain a solid dynamic of core telco. We expect another year of solid EBITDAaL growth in the range of 3% to 5%. It will be achieved through a combination of profitable commercial growth and cost transformation. Higher revenues and high EBITDA will be achieved with similar level of investments like in 2025, meaning a decrease in CapEx intensity obviously, roll out of 5G and completion of fiber project and white zones will be key for 2026. In line with the midterm objectives, we provide guidance for organic cash flow. It reflects our internal focus on these key return metrics. And we are very happy to achieve PLN 1 billion in organic cash flow in 2025, and we are aiming to generate at least PLN 1.1 billion in cash in 2026, a double-digit percentage growth as our objective speaks for itself. And looking at the midterm guidance on the next slide. As you have seen, 2025 results were good. And we also expect strong outputs in 2026. We are confident regarding our ability to reach this ambition. And as a consequence, we are more optimistic regarding the greater value in the future. And as such, we are upgrading our midterm guidance. For EBITDAaL, we are maintaining guidance of CAGR at low to mid-single digit. However, we clearly see that the current trends make high end of this range more probable. Regarding eCapEx, we are making our commitment more concrete. This -- we will spend PLN 1.8 billion per year. This means growth in revenues and EBITDA with a stable level of investments, so improving our CapEx efficiency. The combination of solid EBITDAaL growth and flat eCapEx enabled us to be more bullish regarding cash generation. We are now expect to generate at least PLN 1.4 billion of organic cash flow in 2028. This implies at least 40% growth versus 2025 level and a double-digit CAGR. This guidance clearly illustrate better prospects for future, for value creation, for our shareholders, dividend is also very important in this regard. So let's have a look on it on next slide. As presented today, we delivered our objectives for 2025, and we enjoy more optimistic future prospects. As a consequence, we recommend a cash dividend of PLN 0.61 per share from 2025 profits. This is a 15% increase versus last year. The level of PLN 0.61 per share now becomes a floor for the remaining years of Lead the Future plan. A year ago, you remember, we told you that we are working to create conditions to enable us to grow dividend, and we are very glad to be able to deliver on that, and we will continue with these efforts going forward. This concludes our presentation. And in just a moment, we will be ready to take your questions.
Leszek Iwaszko: Yes. Please give us a moment. We will return for Q&A.
Leszek Iwaszko: Welcome back. For Q&A session, we are joined by 4 more board members. Jolanta Dudek, Deputy CEO, in charge of Consumer Market; Bozena Lesniewska, Deputy CEO, in charge of Business Market; Witold Drozdz, in charge of Corporate Affairs; and Maciej Nowohonski, Board member in charge of wholesale market. [Operator Instructions] We have a first question coming from the line of Dominik Niszcz from Trigon.
Dominik Niszcz: I have two questions, one on CapEx and the second on mobile B2B. So I would like to ask for a comment on CapEx in the context of rising prices of certain network components, you actually are not increasing your CapEx guidance in the long term, but lowering it from around 14% of revenues to at 13%. So should we understand that despite rising equipment prices, you believe there is no need for such high investment volumes as you previously assumed? And what is the price growth component in 2026?
Jacek Kunicki: Thank you, Dominik. I would reiterate, yes, our CapEx guidance well, is an all-in guidance. It's not excluding any price increases or price decreases because you have some elements increasing in prices indeed and the memory chip crisis, it is resulting in some prices that might be temporarily or permanently increased. It also includes the fact that while eCapEx in '25, '24 was heavily supported by the sale of real estate, the proceeds from sale of real estate, this stream of both cash flows and CapEx support will inevitably be disappearing by the end of the plan. And it does involve a lot of effort on our side to make sure that we invest today in platforms and in systems that allow us to be more efficient tomorrow. This goes for IT expenses. And you will see by comparing the structure of our CapEx today to the structure of our assets or even to the structure of the CapEx 6 or 7 years ago that proportionately, we're investing more, and this is linked with IT transformation. It allows us to be more efficient on the side of the OpEx, but it also gives us future CapEx benefits as we will have less labor-intensive and also capital works. So yes, you will have both elements increasing our CapEx or pushing it upwards and the memory chip prices are a part of this. You will also have elements that will be relieving some of the pressure and giving us a potential to decrease CapEx. The fiber projects are near completion this year and starting from next year, this means roughly PLN 100 million less of CapEx dedicated to these type of programs. We will have the CapEx peak for the 5G rollout for 2 or 3 years and then CapEx for 5G rollout will be going down. The CapEx structure is obviously changing in according with the needs. But looking at the different projects that we have in the pipe, looking at the stage of advancement, looking at the fact that we have just finalized the renewal of the radio access network, we feel confident to be able to grow the EBITDA and revenues based on the same absolute level of CapEx.
Dominik Niszcz: Okay. And second question, mobile B2C, what is the share of B2B segment in your stand-alone mobile revenues? And what is behind the current weakness in this market in your view? So is it more related to the condition and number of small businesses in Poland or rather to competitive pressure from other operators?
Liudmila Climoc: Thank you for the question. I understand it's more for B2B. Yes. So from the perspective of last year, mobile was growing slightly less than in the previous year. As I will remind that in the previous year for a few years, consequently, we work on the price hikes and the growth of both ARPO and the overall revenue was for a few years at the level between 4% to 6%. Now we noticed the slowdown on the market. We are in the market. This growth, especially for the small companies is a little above the 1% for the overall '25, the situation differs segment by segment. In higher segments, we have the severe price fight between operators about the big customers, big deals. And here, we treated very selectively always having in mind that we create the value and the margin for the company and some deals are not tackled by us or even we are not going below the certain threshold that still allow us to generate the margin. So all in all, the difference between segments is very huge. We see the slowdown of the overall market according to the comparison of the results of the -- all operators, which we have till at the end of Q3 because the Q4 is not released yet fully, we see it was around the slowdown to around 1%, 1% a little plus, and we are accordingly in this market, keeping our very high market share above 32% since plenty of years.
Leszek Iwaszko: Next question will be coming from the line of Marcin Nowak from IPOPEMA.
Marcin Nowak: I have two questions. The first question would be about your optimism because it has been mentioned a few times during the presentation that your outlook is quite optimistic going forward. So my question is if still your guidance is more on the cautious side or more optimistic side going forward? And the second question is regarding the recent fine from the anti-monopoly office. Is it already fully covered in -- it was already fully covered in the second quarter under -- in an item below EBITDA or maybe there we should expect some more provisions related to that?
Jacek Kunicki: Thank you, Marcin. Very relevant questions. I guess what we try to do is when we give a guidance, we try to give a range in which you would find the borders of our optimism or pessimism. And likewise, when we guide for EBITDA, it's 3% to 5%. So if we would be -- if we are on a cautious side, we will be closer to 3%. If we are on the optimistic side, we will be closer to 5%. I guess what -- and where we try to give you a little bit of flavor is we did not change the guidance for the midterm, and this is EBITDA -- low to mid-single-digit growth. But the optimism that we see right now, and it's not groundless, it's based on very solid trends in the B2C market is based on good positive business development in wholesale, and it's based on an accelerating pace of transformation that we're observing. That allowed us to, first, deliver the good results for '25, deliver a guidance, which is closer to mid than too low for the '26. And we do see that current trends would be with some degree of optimism point us towards the mid rather than low single-digit increase of EBITDA CAGR for the midterm. As for the cash flow, we did not change our stance. The cash flow guidance was and is at least -- it was at least PLN 1.2 billion. Now we expect to have at least PLN 1.4 billion. It means we will be working to try and make sure that we can deliver more cash, if possible. On the fine -- on the second question, Marcin, on the fine, we will not comment on an ongoing proceeding. So no comments regarding any items below EBITDA, no comments on the provision side, everything relating to risks, claims and litigations is appropriately described in the notes to the balance sheet, which you will find us publishing roughly mid-March.
Leszek Iwaszko: Next question will be coming from the line of Ali Naqvi from HSBC.
Ali Naqvi: You mentioned that you'll be seeing some reduction in capital intensity after your 2028, 2029 period. Could you give any kind of quantification of what that could go down to? And then your leverage is lower versus peers and the low end of the below market telcos. I appreciate you may be restricted in doing buybacks, but to keep the balance sheet more efficient, have you considered doing special cash returns, especially considering you're quite confident of the organic free cash flow you're going to generate to 2028?
Jacek Kunicki: Okay. So on the capital intensity, First, we will be progressing with capital intensity reduction even before we are going to pass the peak of the 5G rollout. If you imagine us keeping CapEx at PLN 1.8 billion and growing the EBITDA by -- let's be optimistic, mid-single-digit CAGR, then it is clearly decreasing CapEx intensity. CapEx intensity means that CapEx as a percentage of revenues will be trending towards 13% by the end of the plan. And so that is step one. And then well, I think we will not guide for the CapEx in the period after the strategy. But clearly, the 5G rollout represents a few hundred million that we are spending each year. And this is something that will first decrease towards the end of the plan. And at some point in time, when we will have the 5G rollout completed. Of course, we will have other business priorities back then. But definitely, completing a rollout of 5G that is today consuming a few hundred million yearly, it does present us with an opportunity to decide do we increase investments in other areas that could be value accretive, productive? Or do we further decrease the CapEx going forward, knowing that already by that time, we will be trending towards 13% of revenues. So it's 2 phases, okay? One is relative to revenues to decrease CapEx by 2028. And then after we will have the 5G completed, we will have a decision to make, do we see other sources of good projects to invest this capital or do we further reduce capital intensity. On the shareholder remuneration, today, we are happy with a very strong balance sheet. I think it does give us ample balance sheet flexibility going forward. As far as shareholder remuneration is concerned, we haven't considered buybacks because of the limitations that you're aware of. And for the dividends, we have the policy that today's recommendation once voted by shareholders on the AGM will become the floor for the dividend going forward within the period of the strategy. And obviously, I will repeat the same message that I said 1 year ago. We will be working to create conditions that will enable us to be in a possibility to further increase shareholder remuneration in form of a dividend going forward.
Leszek Iwaszko: Thank you. We do not have any more voice questions. So maybe I will read the instructions. [Operator Instructions] But there is one more question that came to us online. In the meantime, we have more voice questions, but we take those later. But the question on -- that came to us via text is, in the commentary through the Q4 results, the CEO pointed out that we are poised to generate substantial profits in the coming years from fiber backhaul business concluded in the second half of '25. Could you please say a few words about this agreement?
Maciej Nowohonski: So good morning, everyone. Thank you very much for the question. And excuse me for my voice -- which definitely has seen better days, but this is in contrast to what we actually achieved on the wholesale line of business, the performance there is really satisfactory to us. I will not get down into the details of the commercial terms and conditions of the contracts that we are signing. But to give you color of what is happening on the holding market, I think, first of all, you are looking at the different markets in Europe and all across the globe, and you can compare or differentiate conditions on these markets, in Poland, particularly what strikes you probably is still the fragmentation of the market, and on this fragmented market, Orange Polska stands out in terms of the infrastructure. And we actually enjoying the basically, the success, which is purely generated from that, that we are strong in infrastructure, the market on which operators buy from other operators is large and is growing. The wholesale fiber, which normally, I would say, is connected with the wholesale activity is only a part of this market. And there is plenty of operators, which are actually interested to buy infrastructure and capacity for the transport network. And we basically respond to that constructing within the last 5 years, very strong activity and competence on that market. We are truly a partner to other operators on wholesale activity. And the result of that is visible in the contracts that we are winning on that front. So we will enjoy that particular contract for the coming years. Obviously, there is plenty of things to execute, but we are confident that we are able to do that with success.
Leszek Iwaszko: Next voice question is coming from the line of Nora Nagy from Erste Group.
Nora Nagy: Congratulations on the solid results. Two questions from my side, please. Firstly, on the tariff indexation, if you plan to implement it in 2026? And then if so, on which services?
Jolanta Dudek: Hello, everyone. Thank you for these questions. In B2C, this year, we have implemented 2 price hikes for tariffs, first in Jan for mobile and in Feb for fixed broadband. In the meantime, we informed our customers about CPE clauses price hike for customers with indefinite contracts. So simple answer, we -- this year, we continue what has been done last year, and we have just implemented those 2 price hikes.
Jacek Kunicki: And I think just to complement, I think on the price hikes that Jola mentioned were for the customer [ x ], so for the acquisitions and retentions, mobile and broadband. And the indexation obviously applies to the customer base that had eligible -- was eligible because they had the clauses in the contracts, and they were out of loyalty.
Nora Nagy: Yes. And then secondly, how do you see the mobile phone services of Revolut in Poland? Shall we expect the company to focus more on the low-cost segment following the Revolut market entry?
Jolanta Dudek: So as far as Revolut offer concerns, we expect that this offer will be dedicated mainly for the niche segments. And why, first of all, we do not see the impact on mobile number portability to Revolut. The second, this is the offer only limited to e-SIM. Third point, this offer has roaming packages on top and it's limited only to mobile, while home market is going to -- is focused on packages. So for the time being, we do not see the important impact on our base and on our market.
Leszek Iwaszko: Another voice question is coming from line of Dawid Górzynski from PKO BP.
Dawid Gorzynski: Actually, I have three questions. So maybe I will address them one by one. First one is on your assumptions behind over PLN 1.1 billion organic cash flow for this year. I wonder like what do you assume for the value of assets sold? And regarding cash CapEx, what maybe other differences between eCapEx and cash CapEx this year, if cash CapEx may be like higher than eCapEx because of some reasons.
Jacek Kunicki: So for this -- thank you for your question. The PLN 1.1 billion organic cash flow. the base is what we achieved this year. The main growth driver is the growing EBITDA because we do expect to have 3% to 5% EBITDA growth, and we do expect for this EBITDA growth to convert to cash. We did not make bold, unorthodox assumptions on working capital. And we have assumed eCapEx to be flat at around PLN 1.8 billion. And eCapEx includes both the CapEx spending and also the inflows from sale of real estate. As I mentioned, last year, real estate sales were a bit below our expectations due to a challenging market and due to some key transactions being delayed even from late December. So on the one hand, the delay of the transactions gives us some boost and potential to do more this year from real estate sales than we did last year. But then on the other hand, it's not a recurring business. We really need to be prudent on our assumptions for real estate sales and for how much we are able to sell because this is a transaction by transaction and a buyer-by-buyer market. So I will go back. It's the EBITDA that is driving the better prospects for cash flow, not some wild assumptions on neither working cap nor on the real estate sales. We will obviously do our best to maximize real estate sales, minimize working cap. But the underlying driver is the EBITDA growth.
Dawid Gorzynski: Second question on the Cybersecurity bill that is awaiting the sign from the President in Poland. Do you assume any impact of that bill on like potential requirement on replacing high-risk infrastructure? And perfectly, if you can quantify that impact for next year?
Witold Drozdz: Obviously, we monitor closely this legislation. The deadline for signing is tomorrow. So we will see if it is signed or not. However, as it introduces some regulations that are that -- or will not introduce, but anyway, it refers to some fields of regulation that we are aware of, and it is also fully in line with the policy that we pursue for years, then we do not expect any substantial impact from the perspective of our business and results. Maybe Jacek...
Leszek Iwaszko: Your third question, Dawid.
Dawid Gorzynski: And yes, last question on Nexera deal and that chance or the requirement if -- do you think that the debt in Nexera will need to be repaid or it may be stood in the company?
Jacek Kunicki: Thank you very much. So here, for Nexera, we are after having signed the SPA, we have not yet had the closing of this transaction. So obviously, this means that the process is really preliminary. Our intent is to keep the debt on the balance sheet of Nexera. We think that this asset will be performing much better than -- this transaction gives much better prospects for Nexera going forward. Orange Polska and APG are highly reputable buyers. We have substantial synergies of this transaction with Swiatlowód Inwestycje, we clearly have an intent to bring Nexera under the umbrella of Swiatlowód Inwestycje. So this also means that these better prospects mean better financial prospects for the company, and we will be discussing this with the financing banks. The intent clearly is to keep the debt and as much as we can of the debt on the balance sheet of Nexera. We are not in a position today to share with you exactly where we are in this process also because of an early stage. We are just after signing the SPA, we will be keeping you updated on what we have finally achieved. But definitely, the intent, the goal is to keep the debt on the balance sheet of Nexera.
Leszek Iwaszko: We have one more text question. I will read it. It comes from Piotr Raciborski from Wood & Co. What impact of changes in working capital on organic cash flow? Do you expect in 2026, I guess you're -- unless you want to add the asset, but I think it was answered just a moment ago.
Jacek Kunicki: Yes. I mean we will see how the business evolves. We will see how the inventory levels, the receivables will evolve over time. We will need to monitor this as we go forward. I would prefer not to disclose extremely specific assumptions, but it's -- the growth of the organic cash flow is not built on an assumption -- explicit assumption of a significant improvement or a significant decrease -- increase of working cap. It is based on the growth of EBITDA and the growth of EBITDA is coming from -- predominantly from core telecom services. So that does not imply huge requirements for working cap. And it's coming from cost transformation. And again, this is not something -- it's not sale of handsets in installments. It's not something that is requiring us to freeze up large amounts of working capital as a result of this. So this is what makes us confident going forward, is that the progression of cash flows is based on solid, sustainable, repetitive growth patterns coming from the core business. And this is what makes this growth very healthy. And this is why we think we can sustain it, not only for 2026, but we can sustain the good progress all the way up to 2028, hence, the improving prospects for the midterm guidance.
Leszek Iwaszko: Thank you. We have no more questions. So thank you very much for listening, watching us, asking questions in case you wanted to meet us, please give us a note on that. Otherwise, we will come back in April with Q1 results. Thank you very much.
Jacek Kunicki: Thank you very much.
Liudmila Climoc: Thank you.